Operator: Good day, and welcome to the One Medical's First Quarter 2022 Earnings Results Call. After the speaker's remarks there will be a question-and-answer session. Please be advised that today's call may be recorded. I would now like to turn the call over to Ken Goff. You may begin.
Ken Goff: Thank you, operator. Hello, everyone, and welcome to One Medical's first quarter 2022 earnings call. I'm Ken Goff, Head of Investor Relations; and I'm joined today by Amir Dan Rubin, Chair and CEO of One Medical; and Bjorn Thaler, Chief Financial Officer of One Medical. A complete disclosure of our results can be found in our press release issued earlier today, as well as in our related Form 8-K, all of which are available on our website at investor.onemedical.com. As a reminder, today's call is being recorded, and a replay will be available on our website. As part of today’s commentary, we will make forward-looking statements. These statements are based on management's current views, expectations and assumptions and are subject to multiple risks and uncertainties. Actual results may differ materially, and we disclaim any obligation to update any forward-looking statements or outlook. Please refer to the risk factors on our most recent annual report as updated from time to time by our other reports and filings with the SEC, including our quarterly reports. We believe that the COVID-19 pandemic continues to create particular complexity when it comes to providing a forward-looking view of the business, and we are providing our guidance on a good faith basis per recent SEC recommendations. We would like to specifically caution investors that our performance will be harder to predict for the foreseeable future. Our forward-looking statements are based on assumptions that we believe to be reasonable as of today's date, May 4, 2022. Information contained in today's statement should not be relied upon as representing our estimates as of any subsequent date. Of note, it is One Medical's policy to neither reiterate nor adjust the financial guidance provided on today's call unless it is also done through a public disclosure such as a press release or through the filing of a Form 8-K. Today, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A historical reconciliation to comparable GAAP metrics can be found in today's earnings release. During the call, we may offer incremental metrics to provide greater insights into the dynamics of our business. These details may be one-time in nature, and we may or may not provide updates in the future. Finally, I'll remind you that we closed the acquisition of Iora on September 1st of last year, meaning that their results are not included in any comparisons made to the first quarter of 2021. And with that, I'll turn the call over to Amir.
Amir Dan Rubin: Thank you, Ken, and thank you, everyone, for joining us. In the first quarter of 2022, One Medical continued to perform, innovate and grow with its innovative primary care model built for purpose to delight members with better health, better care, lower costs within a better team environment. In terms of financial performance, Q1 revenue of $254.1 million exceeded the high end of our guidance range by more than $4 million. For Senior Health at Risk Care, the medical claims expense ratio decreased by 10 percentage points, compared to the fourth quarter of 2021. Non-GAAP profitability measures also outperformed with care margin and adjusted EBITDA, both coming above the high end of the respective guidance range. And looking ahead, we continue to be extremely excited about our ability to transform health care at scale across all stages of life for multiple key stakeholders, including from members, employers, providers and health networks. In terms of members, our total member count grew to 767,000 in the quarter, up 28% compared to the first quarter of 2021. This membership count included 728,000 consumer and enterprise members, up 22% year over and in the high end of our guidance range. It also included 39,000 at-risk members, which was above the top end of our guidance range, up more than 80% compared to Iora's pre-acquisition at-risk member count from Q1 2021 driven by growth from direct contracting, a program that began in Q2 of last year as well as Medicare Advantage. With our human-centered and technology-powered model, we continue to delight our members. For example, we continue developing our machine learning models enabling us to even more seamlessly respond to member inquiries and share test results with even faster response time. With our senior health At-Risk Care, we continue to see significant improvements in our medical claims expense ratios, reaching 84% in the quarter, down a full 10 percentage points sequentially. As you may recall from last quarter, we showed continued improvements in medical claims expense ratios across all our cohorts of At-Risk patients on a year-over-year basis. We also continued innovating our member experience and care management approach for our most vulnerable seniors through our One Medical At-Home program, building upon Iora's previous efforts. Through One Medical At-Home, we bring together in-home care teams. in office providers and virtual team members connected through our technology to deliver outcomes to complex patients. We leverage our analytics and machine learning models to identify vulnerable members who could be well served by this intensive model, and who on average, have nine chronic conditions. One Medical At-Home has allowed us to provide better care while further reducing avoidable costs and complications. For example, compared to a matched historical cohorts, patients in the program with the highest risk profile statistically significant reduction in costs over six months, averaging 26% spend than non-enrollees with a similar baseline spending risk. In addition to delighting our members, we continue delivering outstanding value to existing and new employer accounts, including from national multi-market clients. As our geographic footprint growth, we continue to see an increase in interest from larger multi-market employers, a positive validation of our national strategy. We are also seeing employers further recognize how our primary care hybrid in-person and virtual based model can deliver differentiated clinical outcomes and value-based care results, addressing backlogs of deferred care to prevent avoidable morbidity and cost down the road. For example, with a large employer, we recently further rolled out programs to address chronic disease and disease conditions, many of which may be exacerbated by people deferring care during the pandemic. One such program is One Medical Healthy Heart, which focuses metabolic and cardiovascular risk and includes a risk assessment by Chronic care provider followed by a series of virtual and in-person interactions with a health coach and exercise guide. In rolling out Healthy Heart with an employer, 80% of the participants saw a reduction in low-density lipoprotein or LDL also known as the bad cholesterol, with 60% of participants experienced a greater than 20% LDL reduction. The LDL-cholesterol is bad because high levels can add to risk of heart attack and stroke. Another program we recently rolled out with an employer called One Medical Healthy Mind is an expansion of our mindset behavioral health solution set, and focuses on mental well-being and resilience. Healthy Mind combines primary care visits with cognitive testing, wellness coaching, and when needed, supported by a therapist. Through One Medical Healthy Mind, participants at this employer, saw on average, 52% increase in health confidence scores, a standardized score that measures confidence in capabilities and motivation to look after one's health. Through a Healthy Mind and Mindset more broadly, employers are seeing how One Medical can promote employee self-efficacy and engagement, which are important steps to improve physical and mental well-being. Given these dramatic improvement levels, we are now scaling the Healthy Heart and Healthy Mind programs to additional employers. Accordingly, we are demonstrating with these programs just as we've demonstrated with our Impact program for diabetes and chronic conditions and our other mindset behavioral solutions that are differentiated modernized hybrid model of longitudinal primary care can deliver outsized impacts for better health and better value. In addition to the lighting members and employers, we are also health care delivery for One Medical providers and staff. We continue to advance our technology team and processes to reduce administrative burdens faced by our providers, allowing them to spend more time focused on patient care, whether working virtually or in person in more markets across the country. As we mentioned last quarter, One Medical recently raised by Forbes and Statista as one of American Best Midsized Employers Imports. Furthermore, our strong mission-driven culture has enabled us to hire more primary care providers in Q1 than in any other quarter ever reported in the history of One Medical. Turning to our health network partners, we continued advancing our partnerships to further own the complexity of coordinating care across a continuum of setting on behalf of members and payers and to further deliver value-based integrated care experiences. As mentioned on last quarter's call, we recently entered into a partnership with Hartford Healthcare in Connecticut, which will bring us into our 29th in-person market. Additionally, we continue to field further interest from existing and potential new network partners to partner with us on commercial and senior health opportunities. We also continue to expand our partnerships with more health plans for senior health at-risk care. We now have senior health payer relationships in place with nine different Medicare Advantage plans with an average of more than four plans per market. We have also grown our potential for more at-risk lives through direct contracting, all of which together gives us more avenues for member growth and retention in the future. Additionally, we believe we are delivering outstanding results for members and health plans, with one of our health plans just notifying us last week that we are a top performer with an equivalent Medicare Stars' quality rating of 4.8 out of five stars. And speaking about this care, we have been highly effective and ahead of our expectations in integrating Iora's care management capabilities, analytical models, technology providers, and teams into our combined organization. Accordingly, we believe we are positioning ourselves to uniquely serve every stage of life across the nation under multiple reimbursement models with high-quality virtual and in-person value-based care. In summary, we are off to a strong start for the year, making impacts for our key stakeholders through our human-centered and technology-powered model. We outperformed our expectations in the quarter, reflecting strong execution against our strategic operating plan. We believe we have never been better positioned to serve more people in more markets across every stage of life with better health, better care, better value, and a better team environment. Now, let me turn it to One Medical CFO, Bjorn Thaler. 
Bjorn Thaler: Thank you, Amir, and hello to everyone joining us on today's call. As Amir discussed, One Medical today reported a strong first quarter 2022 results. We outperformed our revenue and non-GAAP profitability metrics, while continuing to show strong growth across business. We are seeing good progress in our integration of our senior and commercial businesses. And we are well positioned to create long-term value for our members, employees, enterprise customers, health network partners and shareholders by providing high-quality care that improves health outcomes and help lower total health care offers. On this call, I will walk through our first quarter revenue LIBORs, discuss our outperformance on non-GAAP profitability metrics, touch on our balance sheet and cash position and provide commentary on our improved outlook, for the rest of the year. I will remind you that we closed the acquisition of Iora on September 1st of last year, meaning that their results are not included in any comparisons made to the first quarter of 2021. Turning to our first quarter revenue guidance, we finished the first quarter of 2022 with 767,000 members, representing growth of 28% over last year and coming in above the midpoint of our guidance. Consumer and Enterprise members grew 22% year-over-year to 728,000. These are fully business performance, which is consistent with the expectations we had on our last call. Excluding the impact from approximately 18,000 to 25,000, Medical senior Application members added mostly in the quarter of last year, this represents growth of approximately 18% year-over-year. As a reminder, these members were asked by their employers to verify their vaccination status through One Medical, but have not previously used for primary care and --  nature in 2022. Turning to our At-Risk membership, we finished the quarter with 39,000 members, 1,000 members above the high-end of our guide and representing a situational growth rate of 18% compared to the fourth quarter of 2021. This includes the 13,000 direct contracting members that we discussed on our last earnings call. Looking ahead, please keep in mind that we made the decision not to add incremental direct contracting members throughout the year in 2022, and we will instead take care of these patients on a fee-for-service basis throughout this year, until the next alignment date on January 1st, 2023. Moving on to revenue, total net revenue for the first quarter grew 109% year-over-year to $254.1 million, $4 million above the high-end of the guidance range, we issued on our last earnings call. Our growth was primarily driven by the inclusion of our at-risk business with Medicare revenues contributing $127.4 million to total net revenue in Q1. This Medicare revenue consists of $124.6 million in capitated revenue, up 29% sequentially, compared to Q4 of 2021, driven primarily by an increase in average members. Also included in our Medicare revenue are $2.8 million in fee for service and other Medicare revenue. First quarter commercial revenue came in at $126.7 million, $6.7 million above the top end of our guidance and up 4% year-over-year. This commercial revenue consists of membership revenue of $24.2 million, a growth of 20% year-over-year and similar to our growth in consumer and enterprise members and net fee-for-service and partnership revenue of $102.4 million, up 3% year-over-year. While this quarter's conversion revenue growth was driven by our strong growth in commercial members and higher-than-expected reimbursement rates, it was also impacted by a year-over-year decline in COVID-related revenue and by capacity constraints early in the year due to providers being sidelined due to the Omicron variant. Our two-year Q1 commercial revenue compound annual growth rate was a strong 27%. Moving down to P&L. Medical claims expense for the quarter was $105 million, translating to an 84% medical claims expense ratio, a 10 percentage point improvement compared to the fourth quarter of 2021. This is despite the impact from the Omicron variant, particularly in January add more over the continued impact of COVID infections, deferred care and missed care throughout the pandemic. We believe that the work we are doing to help our members prevent or better manage their illnesses and will use avoidable hospitalizations or other procedures by appropriately documenting their health status, will enable us to continue to drive down this ratio over time. Cost of care was $101.4 million in the first quarter, up 45% year-over-year, primarily due to the addition of our senior business, continued investment in our patient-facing staff, our ongoing service expansion and opening six new offices in the quarter. Despite these investments, share margin came in at a strong $47.8 million, $2.8 million above the high end of our guidance range, equating to 19% of revenue. Third quarter SG&A came in at $119.5 million or 47% of revenue, down from 63% in the first quarter of 2021. Our goal is to continue to show improvements in operating expenses as a percent of revenue, as we scale the business and make responsible investments in future growth opportunities. Adjusted EBITDA came in at negative $28.9 million in the quarter, $1.1 million above the top end of our guidance range, driven by our revenue outperformance, while we to make purposeful investments in the business. Turning now to the balance sheet. We ended the quarter with $428.5 million in cash and marketable securities, a decrease of $73.4 million from the end of 2021. This was primarily driven by $55.1 million in cash used for operating activities. Net working capital was a  $24.6 million in the quarter, primarily driven by seasonality and the timing of when you receive certain payments. We also had $19.2 million in capital expenditures over the course of the first quarter, as we continue to invest in our geographic expansion and technology. We continue to believe our cash and marketable security balance, together with our ability to moderate our discretionary spending, will provide us with sufficient liquidity to fuel our goal. Now let us turn to guidance. For the full year 2022, we are maintaining our guidance range for consumer and enterprise members of 790,000 to 810,000. For At-Risk members, we are now expecting to land between 41,000 and 43,000, a 1,000-member increase from our previous guide on both the top and bottom end of the range. We are increasing our 2022 total net revenue guidance by $10 million on both the top and bottom end, and now expect to range between $1.055 billion and $1.095 billion. We are raising both the top and bottom end of our commercial revenue guidance by $5 million to $535 million and $555 million. And we are also facing the tough environment of our Medicare revenue range by $5 million, with the new range being $520 million to $540 million. Our increased expectations for revenue are also allowing us to raise our expectations for share margin in 2022, now expected to range between $200 million and $220 million, an increase of $5 million on both the top and bottom end of the range. Looking at adjusted EBITDA, we expect some of the outperformance to flow through to the bottom line, but also investing some of it back into the business. As such, we are raising the bottom end of our range by $5 million, with the new adjusted EBITDA range expected to be between negative $130 million and negative $115 million. For the second quarter, we expect total members to range between 779,000 and 790,000 members. Consumer and Enterprise members are expected to come in between 740,000 and 750,000, and at-risk members are expected to be between 39,000 and 40,000. Total net revenue for the second quarter is expected to range between $255 million and $270 million. Commercial revenue is expected to come in between $125 million and $135 million. And the Medicare revenue is expected to be between $130 million and $135 million. 2Q care margin is expected to be between $45 million and $55 million, which implies a margin of 19% at the midpoint. Adjusted EBITDA is expected to range from negative $40 million to negative $30 million, reflecting our revenue and tier margin guidance as well as continued environment in our people and services. In conclusion, One Medical is off to a delayed start in 2022, continuing to post strong financial results by growing our membership base, employer relationships, health networks, partnerships and geographic footprint. We believe that our model of taking care of members, both in growth and digitally, both episodic and longitudinally and across all stages of life, highlights our ability to support all of our members in whatever way they prefer. And with that, we will open up the call for questions. Operator?
Operator:  Our first question comes from Ricky Goldwasser with Morgan Stanley. Your line is open.
Ricky Goldwasser: Hi. Good evening and congrats on a good quarter and the guidance for the second half of the year. Just wanted to get more context and more color on what you're seeing in the marketplace in terms of core utilization environment, on the commercial side, on the legacy One Medical and same for Iora?
Amir Dan Rubin: Great. Thank you. Ricky, and to all of you celebrating, May the fourth be with you, but getting to our topic here. On the consumer and enterprise side, we're seeing movements more towards, I'll call it, a more normalized primary care utilization experience, seeing a decline in -- certainly, the COVID testing experience and progression towards, I'll call it, more of a normal primary care experience on the commercial side. And on the senior health side, the At-Risk side, as we said, we were really pleased to see a 10 percentage points reduction in our blended medical claims expense ratio, certainly saw some spikes in January due to Omicron, but I have seen those come down also, as I spoke about in my prepared remarks, we've done a lot of work in managing complex patients, including real effort on our One Medical At Home program, which is a program that had started in the IR days that we built on top of this that risk stratifies our population looks for rising risk, very complex seniors and manages them very proactively through team-based care, including going into the home. 
Ricky Goldwasser: Okay. And then one follow-up. We get a lot of questions from investors around just kind of like cash burn and cash position. So if you could just kind of share with us sort of kind of like your thought in terms cash position. And just sources of how should often you think about sort of approach for capital rate?
Bjorn Thaler: Yes. So we obviously ended the quarter with cash and marketable securities of $428.5 million. And overall, we feel that we are appropriately capitalized here considering our business and also our goal stores  at this time. As we mentioned on the last call already, we do have several levels available to us to moderate our cash burn if that is something that we decide to do. For example, we will be always thoughtful about office openings, both on the addressed and commercial side. Obviously, that is a level that we can call. We can also call another level around contracting members where we've decided to exercise our option and not involve those during the year, but instead bringing them into a this relationship in January of 2023 instead. Those are just some of the things that really are going to help us on the cash side, if it is something that we feel like we need to do. And probably think most importantly, we continue to make significant strides on just operating and executing in our core business. We've reduced our medical claims expense ratio by 10 percentage points in Q1 compared to the fourth quarter of 2021. We'll continue to create leverage across our operations. We are continuing to improve our adjusted EBITDA margin, up from negative 18% in 4Q of 2021 to negative 11% in Q1 of 2022. So, you put that all together, and we feel really good about where we are today, the levels that we have, the cash balance that we have, the operations and trajectory. And at the same time, we'll also certainly dynamically monitor the capital structure going forward and market conditions and make sure that we maximize our strategic opportunities for long-term shareholder growth.
Ricky Goldwasser: Thank you.
Operator: Our next question comes from Lisa Gill with JPMorgan. Your line is open.
Lisa Gill: Thank you. Good afternoon. I just want to dig a little into to membership. And just give your thoughts. First, let's start with the enterprise One Medical side of things. I think last quarter you talked about a little bit of a sales cycle. We heard Bjorn talk today about the verification, the vaccine verification. So my first question would be, when we think about the vaccine verification, one, have you been successful in converting any of those members over? And then secondly, how do we think about the pipeline conversion when we think about the commercial market?
Bjorn Thaler: Yeah. Absolutely. And maybe I'll take sort of the first one, and then I'll hand it over to Amir to talk a little bit about the pipeline that we are seeing, which continues to be very strong. Under vaccine verification members, we obviously are convinced of the value proposition that we have to our members. Consumer members, as a reminder, they renew with us nine out of 10 times. Enterprise members, again, nine out of 10 times plus. So very strong value proposition. And we continue to believe that it resonates really, really well. And I think you see it in our results today. These members, just as a reminder, they signed up with us basically because their employers said, you need to. So, we are now treating this opportunity to really make to those employees to educate them about One Medical and what we offer and all the benefits that we bring. But yeah, as we stated earlier, at this time, we don't necessarily expect to retain most of these, I think will be as frankly as upside relative to the guidance that we provided today.
Amir Dan Rubin: Yeah, and I’ll just add. In terms of the commercial side on the enterprise side, we feel great about our positioning. We've never been in more kind of conversations with larger and larger employers being invited, to engage with them. And that's due to our growing multi-market presence, and we think that is very powerful. Again, those conversations may take longer, if they're larger and larger employers. But we believe we have just such a differentiated approach here. It's not a single point solution. As we talked about today, it's aligned to two primary care, it's helping on heart, health and managing cholesterol and managing not just behavioral health, but the overall resilience or as we've talked about in the past, is showing we can take down the cost of care as well. So we feel great about the commercial pipeline and the opportunities there and the conversations that we're having. 
Lisa Gill: I mean, just to follow-up on that. I just want to understand, though, we've heard from others that employers still are somewhat focused on getting people back to the office. Obviously, we've already had the vaccine verification. They're focused on some other things. Do you feel like the environment is any different would be, right? The first part of my question. And then secondly, when we about some of the things you talked about, say, like healthy heart and healthy mind. Is there an incremental PMPM cost or an incremental cost to the employer for that, or is that included in the current membership dollar amount? 
Amir Dan Rubin: Yeah. Thank you, Lisa. I'll start with the latter. That's included in our current program. So we're just extending kind of the capabilities and reach in our program. We have other things for cardiometabolic disorders, diabetes, sweeps. So these are really the need that employers and employees are seeing sometimes exacerbated by deferred care, sometimes as much as a couple of years of deferred care. These are just more and more proof points that we can add to our model, right? We were good in times as kind of the crunch of the pandemic and health care, but we're also rated to addressing longitudinal care. And again, largely due to the fact that it's not point solutions, right? It's not flavor of the month. We can integrate and we can do whole person care. So in that regard, we're seeing great enthusiasm in conversations from our perspective for our organization with importers. And like I said, never had more with the larger and larger importers, has really been a great area of additional conversation and growth.
Lisa Gill: Great. Thank you for the comment.
Operator: Our next question comes from Daniel Grosslight with Citi. Your line is open.
Daniel Grosslight: Hi, guys. Congrats on the quarter, and thanks for the question, It seems like you've been managing your clinical costs quite well, which is different than what some of the large health systems have been seeing in 1Q, particularly with some of their nursing staff. So I'm curious, if you're seeing any wage pressure within your staff, particularly the nurses? How you're managing through those pressures? 
Amir Dan Rubin: Yeah. Thanks, Daniel. Good to hear from you. Yeah. Unlike the major hospital systems, the – our model is not an heavy model in terms of staffing even though we have a fantastic nurses, and we do use in nurses, but that is not a major component of our staffing. So I'd say that's different. We're obviously not immune to what is happening in the economy and looking at salary like, but again, not really seeing that in particular. And again, nurses are not a major group that we use in our staffing models. 
Daniel Grosslight: But I guess kind of broader, are you seeing any wage within your clinical care teams, whether it's providers or even in folks?
Amir Dan Rubin: Yes, I'd say on the provider front, as we mentioned, we've never hired more providers than in Q1. So we feel we're well-positioned. Obviously, we have to keep at them what happens market by market, but I think we're keeping count on that. And then across other positions, we certainly have to be competitive with the market. But I'd say, nothing outside. And certainly, all of these things are factored into our projections in our guidance. 
Daniel Grosslight: Got it. Okay. And then just on the Medicare side of the business, you saw a nice uplift in PMPMs on the capitated side. I calculate around a 16% sequential increase in capitated PMPM this quarter. I just wanted to get your thoughts on the reason for that uplift this quarter? And how we should think about the cadence of PMPMs for the rest of the year? 
Amir Dan Rubin: Yes. So I think there are a couple of things, sort of, going on here. Obviously, in many ways, this is sort of a new year, right? And a lot of the deferred care, the types of demand that you saw last year is starting to make its way into reimbursement rates for this year. So that's definitely something that we are starting to see. The cohorts that we have continue to mature. And I think that's another level that you're starting to see here as well. As I think of them left of the year, obviously, we have -- we do expect to continue to sign-up new members throughout the year. Those tend to come in at a little bit of a lower sort of average reimbursement because they do tend to not be well-managed when they come to us early on. So we'll see a little bit of that headwind for the rest of the year. But really what you're seeing, I think, in many ways, is the fruits of the labor in all of our providers and team members have done the last 12 months to 24 months in making sure that we take good care of our existing members. And as they mature and as the documentation on them getting better, you start to see that uplift. 
Daniel Grosslight: Got it. Thanks for the color.
Operator: Our next question comes from Jessica Tassan with Piper Sandler. Your line is open. 
Jessica Tassan: Hi. Thank you so much for taking question. So just at the midpoint of guidance, I think it's implying the consumer and enterprise membership is a little skewed towards the last three quarters of the year. So just interested if there are any sort of specific deals to call out? And what the reasons might be for the somewhat back half-weighted strength? Thanks.
Amir Dan Rubin: Yes. I don't think any particular to call out in general. But certainly, as we get towards the end of the year and head into the beginning of kind of benefit cycles for certain employers and certainly times where we tend to add lives, particularly in the larger importers, but we feel great about the performance growth of 22% year-over-year and the top half of our guidance range. And as I mentioned before, we feel really positive about the conversations that we're having with importers, including with multi-market and larger and larger importers. So I'd say, overall, that a positive. And again, just some of the points that I mentioned before. I think importers are looking to us as a great benefit that could really differentiate on the recruitment and retention, but also with a great benefit that can help manage the cost of care. We mentioned in the past, the study that we published in JAMA that -- we took out 45% of the cost of care. And we've also mentioned the path of study that shows we have approximately twice the average impact on reducing blood sugar for diabetes patients moving in from uncontrolled to controlled data. Today, we talked about with a healthy heart program, reducing bad cholesterol on 80% of the patients. We've talked in the past about the mindset impact of reducing anxiety and stress greater than 50%. And today, I talked about healthy mind, increasing basically people's confidence in their ability and resilience to take care of their health and their motivation. So I think all of that portends well for our positioning going forward. So we feel really good about it. 
Jessica Tassan: Thank you. That's helpful. And then just a quick follow-up. Can you just remind us of the seasonality dynamics around medical cost ratio within the Medicare population? Does 1Q tend to be the low watermark or if you kind of stop loss insurance dynamics kick in around the fourth quarter? What do you expect that to look like seasonally each quarter of the year? Thanks.
Amir Dan Rubin: Yes. I think, there are obviously lots of valuable team here, including variants in terms of COVID that could cause some sort of near-term fluctuations here. But generally speaking, we would expect slightly higher medical change expenses in the first and the fourth quarter of the year and slightly lower ones over Q2 and Q3. However, it's probably not something that is going to be super pronounced, but it's a margin, it's probably what you can expect. 
Jessica Tassan: Thank you.
Operator: Our next question comes from Sarah James from Barclays. Your line is open.
Sarah James: Thank you. As you guys are starting to expand your product offering, adding some of these cardio and behavioral aspects. Is it a change in your conversation at all with payers with respect to value-based care or where the relationship may go in the future?
Amir Dan Rubin: Yes. Thanks for that Sarah. I'd say, absolutely, and in a real positive sense. I think what people are seeing is that we add multiple, multiple benefits for employers, for payers. We're a great tool that recruit and retain. And as we said in the past, we have 40-plus percent activation when we roll out an employer. And we've also shared in the past that 85% of the companies now offer us two dependents. We've also just talk about and for your questions here, the clinical impact that we can have, whether diabetes or we've talked about HIV care, in, for example, in New York City, zero patients last year progressing in Q4 from HIV to AIDS ranked number one, so managing complex patients. Talk about here today how we're leveraging our One Medical at home with our most complex At-Risk senior patients. These are patients with nine chronic conditions, very acute. And we're seeing the benefits of managing them intensively and been able to reduce their costs on a MASH cohort perspective, about 26%. So I think these are definitely things that payers are recognizing. And I think if you step back, it is also because we have a fundamentally model, right? This is not a fee-for-service kind of overstaffed kind of model, the salary model of longitudinal primary care where we're not just throw point solutions that problem, but can have integrated whole-person solutions. And I think certainly, healthplan payers, employers are definitely recognizing those differences. 
Sarah James: Great. Thank you.
Operator: Our next question comes from Sandy Draper with Guggenheim Partners. Your line is open.
Unidentified Analyst: Hi. This is Mitchell on for Sandy. Thanks for taking the question. So you raised your full year commercial revenue outlook by $5 million, but didn't change the membership outlook. So just wondering what's the biggest change against what you initially set out? Thanks.
Amir Dan Rubin: Yes. Great question. In many ways, we obviously outperformed on our commercial revenue guidance for Q1. And in many ways, I'm sort of thinking about this really being one of the drivers to just face the full year as well. Just as a reminder, going into the year, when we gave guidance for the full year, just about 10 weeks ago, we said that we don't see in-office visits return quite as fast as we had seen in the past. And I think directionally, that's still the case. However, we did see a meaningful increase in a meaningful return to more normal office utilization patterns in March, which, in many ways, contributed to the outperformance that we had in Q1 on the commercial revenue side. And sort of expecting to call that through the year. 
Unidentified Analyst: Great. Thank you.
Operator: Our next question comes from George Hill with Deutsche Bank. Your line is open.
George Hill: Good morning guy and thanks for taking the -- I am sorry, good afternoon guys. Thanks for taking the question. I'm going to ask first the flip side of the question you just answered, which is, I imagine, as you've seen the in-person utilization pick up. I guess I was going to ask, could you talk about what you've seen in the telehealth utilization, kind of starting from January through maybe the end of March or the end of April? If you're willing to comment on that and just kind of what the trend is look like there from a general health perspective?
Amir Dan Rubin: Yes. In many ways, it really is the flip side. So we certainly see a shift throughout the quarter, frankly, back from digital to in person. Yes, certainly, we continue to have a fair number of visits that are happening digitally, and that's obviously a big driver of our member satisfaction, but we have seen particularly, much probably more pronounced the return to the office, so to speak. And that's definitely the dynamics that we've seen. 
George Hill: Okay. And two more quick ones. Number one, the last time you guys gave formal guidance, the environment as it related to COVID, it was still pretty uncertain because we had Omicron kind of . Are you guys now seeing COVID as kind of a headwind or a tailwind as you think about 2022? And then, Amir, the one I have for you is there's a tremendous amount of chatter right now in the market about companies looking the bulk of their care delivery capability, either through partnership or through acquisition. Would just love any commentary you'd be willing to share about the conversations that the company is having, kind of how you thinks about where it is in the corporate life cycle? 
Bjorn. Thaler: Yes. I mean on your first question on COVID before I hand it over to Amir here. We, at this point don't necessarily factor in a meaningful return of COVID for the rest of the year, so to speak. We saw COVID related -- direct COVID related volumes, I think this as testing, vaccines, et cetera, meaningfully and drop off in Q1. We continue to believe that we'll see a little more of direct COVID related revenue in Q2, but we really see that diminish very, very quickly throughout the rest of the year. And our guidance right now does not assume that that's going to come back. Obviously, to the extent that it does, a lot of it is going to depend on the details, right? People going to go back into testing mode, which LLD could probably be a tailwind to us? Are we going to see more hospitalizations? That could be a potential headwind on the At-Risk business. Are we going to go back into lockdown? So there are many different ways this could play out. And our guidance right now does not assume any meaningful contribution one way or the other of COVID for the rest of the year.
Amir Dan Rubin: Yeah. I think to the second part of your question, I mean we're focused on growing One Medical and making it into the default option for health care in the United States. And I think that's what we're hopefully on the path to doing and growing. As you've heard today, really a great differentiated model that has omni-channel hybrid, if you will, right, in-person and digital can address the whole person's needs. So we feel great about our positioning and the work we're doing.
George Hill: I appreciate the comment. Thank you.
Operator: Our next question comes from David Larsen with BTIG. Your line is open.
David Larsen: Hi. Congratulations on the good quarter. Can you talk a little bit more about the 10% improvement in the medical cost ratio for the Medicare Iora business? Just any incremental detail that you can give on that? Like did you tighten up the referral patterns? Was it largely COVID related? I mean, COVID activity was high in January. Just any additional color around that would be very helpful. And how sustainable is that? Should we expect another 10% improvement next quarter effect?
Bjorn Thaler: Yeah. Thanks for the question. Well, we feel great about the work we're doing. And increasingly, this is a common organization. As we've mentioned in the past, we've also begun taking risk, and if you will, legacy One Medical markets. And we've been really, I think, ahead of our expectations on where we are on that integration, whether it's our care management capabilities, our technology and building our programs like the One Medical At Home program, which is really built on from kernels that we had in Iora, but really is expanding now. So we feel that we have really great capabilities built into our technology, built into workloads that are coming as they've probably never come before, whether that's appropriately capturing documentation, whether it's using machine learning models to identify, which patients are at rising risk, and so that we can proactively reach out to them to help manage their conditions. And also, our model is leveraged to digital and in-person as we've talked in the past about still 5:1 ratio of digital to in-person on the senior health side. So, we believe that those are great opportunities for us. I think the impact overall is pretty broad-based reduction in hospitalization, certainly COVID-specific costs through the quarter after the spikes in January, as we talked about. And we believe we will continue to be able to improve that performance. Of course, as you add new cohorts, as Bjorn mentioned earlier, then you have to manage those as well. But as you heard today, the medical claims expense ratios, if you will, as part of our care margin assumptions, and we increased our guidance for care margins by $5 million. So, I think that overall, we feel very good about our work there.
David Larsen: Great. And then let's say MA rates increased by 4% or 8%, 1/1/23, will we see a 4% or 8% improvement in your medical cost ratio? Will you be able to capture a lot of that from the plan, or are they going to keep that?
Amir Dan Rubin: Well, I think a lot of that still remains to be seen on planned benefit design and what ends up flowing through. So, I think it's too early to say.
David Larsen: Okay. Congrats on a great quarter and well done, Rishika , I guess, as well. So, thank you.
Operator: Our next question comes from Brian Tanquilut with Jefferies. Your line is open.
Jack Slevin: Hey, good afternoon guys. Congrats on the quarter. It's Jack Slevin on for Brian. A couple of quick ones for you. First, I just want to make sure I understood, Bjorn your comments around DCE and the fee-for-service patients on the Medicare side there. So, if we look at those, those patients that you've elected to go the fee-for-service route this year, is the thought that those are going to be claims aligned in 2023? And if so, can you give us a number on just how many patients we're talking about?
Bjorn Thaler: Yes. I mean, the way I think about it is we are building a great pool of patients that have experience with our service that have experience with our providers that we have great insights on what is the health data and we are building that relationship, right? And then certainly, as open enrollment comes up as the calendar flips into 2023, certainly, we do expect that, that is going to be sort of the first pool that we're going to go to, to say, hey, you have experience at do you want to join us? Some of them might be aligned. Others of them might voluntarily align to us and say, yes, you are my provider. And then there are others that might end up enrolling in Medicare Advantage plans and still say, yes, but I need you, One Medical, to be my provider. So, yes, it could be a couple of different things. But that's really the vessel in many ways that I can go to and say, you experience us. We work well together. We fit well together. Let's change -- for at-risk model.
Jack Slevin: Okay, got it. That's helpful. And then, obviously, early days or maybe around less than a couple of quarters here with you all running through the P&L. But as we look at sort of the broader thesis on some of those members aging into Medicare, right, and converting over to the Iora side. Is there any commentary you can provide on what that looked like over this first turn to 1/1/22, and any success you had with, thus far, with people turning 65 and electing to do the Iora route? Thanks.
Amir Dan Rubin: Yes. Well, maybe a few comments just to reiterate what I said before. We're now one blended company with one blended technology team, operations clinical teams, and that's sound really well. So increasingly, once the Iora side or on medical side, it will be harder to disentangle. As I mentioned, we have taken global risk, capitated risk, at-risk in clinical legacy One Medical. So specific to your question, we have, and we believe that's performing well. And those are folks who have already aged in or are aging in. And I think we're still in the early days of this, but I think we have tremendous opportunities to further grow and age people in from under 65 into Medicare if they turn 65. And in general, we manage patients really well, you've seen from the clinical outcomes that we presented through the years here on the One Medical side. So they're well managed, well cared for and positions us very well as they potentially age into at-risk relationships.
Jack Slevin: Got it. Thanks.
Operator: Our next question comes from Ryan Daniels with William Blair. Your line is open.
Nick Spiekhout: Hey, guys. Nick Spiekhout on for Ryan. Thanks for taking my question. I guess, we have kind of an increase in care margin. At the same time, you guys are now seeing more and more kind of in-office visits and in-office utilization coming up. Just wondering if you can kind of describe that dynamic a little bit? Provide a little color there. 
Bjorn Thaler: I can talk here. I think what you're seeing is, frankly, the benefit of actually sort of fully employed fixed cost model that we are building and that we built, right? So as volumes come back into the offices, we are paying our providers on a fixed salary basis, right? It's not like they are sort of being paid click fees. It's not like they're being paid on work RVUs or other sort of volume metrics. So as members come back in, as we see them in person, you really see, I think that to some extent, the margin expansion that's built into the model here by employing colliders, by making sure that we do delicing, by our members, by spending time with them rather than rather than having sort of more of an Uber-doctor type model. I think that's really what you see close with the P&L as revenues increase, you see the leverage in the rest of the P&L.
Amir Dan Rubin: And I would just say circling back around to some of the earlier questions that this shows the power of the model, right? We have a really high engagement whether it's across our commercial population, consumer enterprise or senior at-risk population, we can manage patients, certainly, if they have on-demand issues, but we can manage them longitudinally. We can reach out to them, whether it's digitally or in-person. And this is why we believe we have such a robust model, why we believe we can transform healthcare because we actually can have really high engagement, can make an impact on quality metrics, can have come in and if they need to see us or see them remotely, but have these ongoing relationships. 
Nick Spiekhout: Great. Thanks for the color, guys.
Operator: Thank you. This concludes the question-and-answer session. I'd like to turn the call back over to Amir Rubin for any closing remarks. 
Amir Dan Rubin: Well may the fourth be with you, all. Thanks, everybody, for joining us today, and we'll see you next time. Have a great evening. Thanks, everyone. 
Operator: This concludes today's program. You may now disconnect.